Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to StubHub's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note that this conference call is being recorded today, November 13, 2025. I will now turn the call over to Clinton Hooks with StubHub.
Clinton Hooks: Thank you for joining us to discuss StubHub's Third quarter 2025 results. For reference, our third quarter 2025 earnings release and presentation are available under the Quarterly Results section of our Investor Relations website at investors.stubhub.com. Before we begin, please note that today's discussion will include forward-looking statements within the meaning of federal securities laws. These statements involve risks and uncertainties that could cause actual results to differ materially from our expectations. We assume no responsibility for updating these statements. Therefore, please exercise caution in relying on them. For detailed risk factors, please refer to our SEC filings. We'll also discuss certain non-GAAP measures, which we believe are useful to investors for evaluating our performance. These measures should not be considered in isolation or as substitutes for GAAP results. Full reconciliations to GAAP measures are available in our earnings release. Unless otherwise noted, our profitability and EBITDA discussions today refer to non-GAAP adjusted EBITDA. Joining me today are Eric Baker, our Founder, Chairman and Chief Executive Officer; and Connie James, our Chief Financial Officer. They will provide opening remarks, then take questions. With that, I'll turn it over to Eric.
Eric Baker: Good afternoon, everyone, and thank you for joining us for our first earnings call as a public company. I want to welcome all our investors, both those who supported us throughout our private journey and those who are new to the StubHub story. We're grateful for your trust and partnership, as we embark on this next chapter together. Today, I'll focus primarily on the progress we've made in establishing StubHub as a leading live event ticketing marketplace and on our strategic initiatives. I'll then hand it over to Connie to speak to our third quarter financial performance. While we won't be providing detailed 2026 guidance on today's call, we look forward to sharing our outlook during our next earnings call in early 2026. With that said, I want to begin by stepping back and discussing the business that we have built over the last 2 decades and share the long-term vision of where we are going, one that continues to be defined by a customer-focused and relentless drive to make live entertainment accessible to everyone everywhere. The past few years have been transformative for our business. We completed the StubHub acquisition, navigated the pandemic, fully rebuilt StubHub's technology stack, restored StubHub as the clear category leader and have now entered the public market. Our thesis for the acquisition was to restore StubHub's market leadership in North America and create a unified global ticketing marketplace. Our business today is the result of the successful execution of that thesis, and we are very proud of the asset that exists as a result. Today, StubHub operates what we believe is the largest global secondary ticketing marketplace for live event tickets, selling over 40 million tickets annually across more than 200 countries and territories from over 1 million sellers all over the world. Our many years of leadership in the resale market have created brands synonymous with the category, resulting in moats around our business and durable competitive advantage through customer loyalty and trust, organic traffic and superior acquisition and conversion. We maintain what we believe is the most comprehensive operations and supply chain capabilities in our category, the largest event catalog in the world and the capability to fulfill virtually any ticket across any category, all through a single global marketplace. Our business produces a huge data asset as tens of millions of people interact with our product services on what we believe is the largest floating price marketplace for live events in the world. This data on supply, demand, pricing, user behavior, etc., provides structural advantage through differentiated product innovation, marketing optimization and pricing intelligence. Finally, this is all built on a single, modern, globally deployed technology stack, allowing us to rapidly innovate across our product surface and nimbly deploy features using new technologies, something becoming increasingly important as AI development shapes the future of digital commerce. Our business has built a rare combination of best-in-class financial attributes that create exceptional value at scale with proven durability. First, we are growing rapidly with nearly 20% GMS growth over the last 12 months. Second, our marketplace models operated with enduring economics, consistent take rates and high margins. Third, we built a profitable customer acquisition engine that allows us to grow and take market share while generating profits through our performance marketing channels. Fourth, our asset-light business model and the natural flow generated by our marketplace dynamics result in exceptional cash conversion. Fifth, we've demonstrated remarkable resilience through economic cycles, consistently growing nearly every year since inception. And finally, we operate in a large and expanding core global secondary ticketing market with durable long-term tailwinds. In addition, we have opportunities for significant TAM expansion through accessing the broader ticketing ecosystem. We believe you would be hard-pressed to find many other companies to check these boxes. That said, we are most excited about leveraging these assets to realize our vision to become the global destination for consumers to access live entertainment. We believe that buyers want one destination where they can purchase any ticket for any event in their language and currency. Sellers want to optimize revenue and attendance through broad distribution and pricing intelligence. We believe we can service these needs by building a single product that puts the world's live entertainment at fans' fingertips and services their needs throughout their entire journey. This is not something that exists in our category today. This is a product and service that can only be built by applying technology and relentless customer focus to eliminate friction around the live event experience. Technology businesses innovating on behalf of consumers have reimagined access to many products and services, information, music, video, food, but not yet for live entertainment. This is exactly what StubHub is, a business with a core competency in technology development focused on applying its expertise to revolutionize the way consumers interact with live event commerce. With this context, we can turn to some of the topics I think are top of mind regarding recent developments in our operating environment. First, we wanted to discuss some recent developments in our core resale market. Restoring StubHub's market share in North America was the key tenet of our acquisition thesis. Following our acquisition of StubHub in 2020 and the completion of the technology migration in 2022, we have consistently gained share in the North American market, transforming StubHub from a business that was roughly comparable in size to the nearest competitor in 2022 to one that is now approximately 4x larger than that same competitor based on GMS and comparable metrics. This momentum in share gains and the subsequent positive impacts of relative share we observed led us to invest in accelerating this dynamic via disciplined customer acquisition and conversion levers, specifically take rates and performance marketing, which continued in the most recent quarter. I want to highlight one specific downstream impact of this share gain, our growing share of the point-of-sale market. In our market, the point-of-sale is a software product used by power sellers to manage the listing, pricing, distribution and fulfillment of their ticket portfolios. Sellers build their operational workflows around the software infrastructure, which becomes sticky as a result, like many enterprise software products. For many years, the technology was provided by one of our competitors, whose product had the majority share of the market. We recently launched our own product called ReachPro. As our relative market share of sales volume has increased, we've seen rapid adoption of our technology. We have benefited from a powerful network effect. As our marketplace captures a larger share of sellers' sales, these sellers are increasingly willing to migrate their operations to what we believe is our far superior technology, backed by our unmatched data and insights. In the secondary market, installation of ReachPro naturally produces higher relative market share. When sellers use our tool, they tend to index their behavior around our marketplace, ensuring competitive pricing and high standards of fulfillment, leading to structural advantage and benefits for our buyers. It also provides valuable data insights, which can be used to improve the quality of our products and a strategic product development surface to launch advertising products and innovate with features that will serve large sellers even at enterprise scale. Q3 was both our largest relative market share quarter to date and the largest quarter of new seller adoption for ReachPro. We believe we have line of sight into becoming the largest provider of this product in the medium term, a durable and strategic asset created in part via our relative market share investments. This brings us to the next topic, direct issuance, which we believe will be a major innovation to original issuance ticketing distribution that will promote competition and improve the fan experience while improving economics for ticket issuers. As I mentioned earlier, we believe buyers want a single platform that offers access to all the world's live entertainment. At the same time, sellers maximize revenue and attendance by accessing the broadest possible distribution with the smartest pricing intelligence. Our strategy to unlocking this value proposition is through what we call direct issuance. Generally speaking, there are 3 seller types in the market: individuals, power sellers and enterprise sellers. StubHub and viagogo began as platforms to service individual sellers, season ticket holders, concert goers whose plans change and so on. As liquidity of the market grew, market makers developed. Power sellers selling large quantities of tickets through the marketplace on a regular basis, and we ultimately developed products such as ReachPro to allow these sellers to manage the listing, pricing and fulfillment of tickets seamlessly. For our business, direct issuance simply refers to expanding the supply side of our platform once again to allow enterprise sellers, content rights holders like teams, arts and venues to access our marketplace through a frictionless technology-enabled experience as any individual or power seller does. We believe simultaneous multichannel or open distribution using data-backed pricing intelligence is the future of ticket distribution, as it will maximize value for fans and content. To be clear, this is a very different model to legacy primary ticketing companies. Primary ticketing company's core service is to provide access control to venues. And secondarily, they provide a retail web storefront with limited or no marketing. Content today, for the most part, sells an inventory through antiquated distribution methods. They often sell tickets, expiring products that drive huge economics exclusively through these access control providers. The result is an opaque market with huge inefficiency, narrow distribution, lack of pricing intelligence and ultimately, unsold seats and tremendous value loss for content, not to mention a lack of competition leading to a terrible experience for fans. We are not competing with this model, and we are not providing access control technology. We offer something new, the ability for content to access StubHub's distribution engine through a variety of options that does not require them to switch their access control provider. We make our distribution available to content rights holders with no exclusivity requirement, broadening their distribution and empowering them with robust data insights from our scaled floating price marketplace to make informed pricing and utilization decisions. This means content rights holders can access our marketplace, distribution, data and customers, in the same way individuals and power sellers can. They can list tickets multichannel across retail outlets at whatever price points they choose to optimize their utilization and yield, and we compete to sell inventory the same we do today. We're actively making investments to grow this business and demonstrate the benefits of open distribution's content and are excited about the progress we are making. We recently signed a partnership with Major League Baseball, a great example of one of the world's premier sports properties endorsing open distribution. MLB momentum has continued, and more teams are continuing to become sellers on StubHub, several of which are doing so without any additional economic incentive or protection from us. They're selling just as any other seller on our platform does. We have also had success with the music festival category, adding Peachtree Entertainment, one of the largest independent promoters in the Southeast, and LED Presents, an independent EDM promoter on the West Coast. These promoters combined put on dozens of events attended by hundreds of thousands of fans annually. We have also continued to add talent to lead this initiative. Shaun Stewart, who spent much of his career building supply chain for travel businesses such as Expedia and Airbnb, joined as VP of Direct Issuance. Shaun will be reporting to Raj Beri, who was instrumental in building Uber Eats' APAC business and recently joined StubHub as Chief Business Officer to oversee all global supply. Direct issuance represents an addressable market opportunity well in excess of $100 billion, a transformative growth vector that we believe will drive substantial long-term growth, value creation for our business and shareholders for years to come. The other business we are in the early stages of developing is advertising, which we believe can be a large and profitable business for us, as it has been for many other marketplaces. We are pursuing 2 advertising models initially. First, sponsored listings, where sellers can bid for premier placement on event pages to dramatically increase exposure. For any given event, we may be merchandising hundreds, even thousands of tickets on our event pages. These are expiring products, meaning that sellers receive nothing if the ticket does not sell. With the sponsored listing offering, sellers can bid for higher visibility among competing inventory, improving the likelihood of a buyer seeing and ultimately purchasing their ticket. Conversations with sellers on our platform have demonstrated tremendous interest and features such as sponsored listings as an additional and powerful tool for sellers on our marketplace. As ReachPro has gained users and market share, we've also established a ready-made distribution platform for sponsored listings, as we can build access to the feature directly into ReachPro's user workflow without the heavy lift of a sales force. The second advertising model is through more traditional corporate advertising partnerships with businesses in adjacent product categories that can be additive to the customer experience. One example of this is Booking.com. Event tourism is a rapidly growing category, and we know that many of our customers are purchasing tickets for events outside of where they live. Our partnership with Booking is a great example of how we can monetize post-purchase real estate in our product to deliver a travel offering to customers. And it is also a great example of a high-quality business, recognizing the value of our customer base and paying us for access. We believe this will extend to other categories adjacent to sports, music and live event attendance. We are very excited about the potential for advertising on our platform. Of course, as with everything we do, our #1 priority is ensuring that we do not adversely impact the customer experience. Therefore, introducing advertising thoughtfully and methodically remains our focus. We recognize investors are eager for more details on direct issuance and advertising. We intend to provide a more fulsome update on the long-term opportunity on our call early next year. To close, StubHub is a business that is growing fast at scale while generating profits and cash flow. StubHub is a global category leader with the data, technology and customer focus to continue capturing share of the global ticketing market. Indeed, we are very proud of all that we have accomplished to date. However, the real goal for us is to reimagine our market to create an unprecedented experience for fans and an asset of tremendous value in the process. That is what is really exciting. With that, I'll turn the call over to Connie to discuss our financial results.
Constance James: Thanks, Eric. Before I discuss our third quarter financial performance, I'd like to share our financial philosophy that guides our decision-making, and ultimately, how we look to drive long-term shareholder value. To that end, the foundation of our value creation approach rests on 3 financial principles. First, we prioritize driving sustainable market share growth by strategically investing in our marketplace ecosystem. Second, we are committed to long-term margin expansion through operational discipline and the natural leverage in our marketplace model. Third, we focus relentlessly on cash flow generation. Our business model efficiently converts adjusted EBITDA into free cash flow, providing us the financial flexibility to reinvest in the business and optimize our capital structure. With that context, let's turn to our third quarter results, beginning with our key marketplace metrics, gross merchandise sales, or GMS. GMS represents the total economic value flowing through our platform and directly drives the network effects that make StubHub increasingly valuable to both buyers and sellers. Our GMS reached $2.4 billion in the third quarter, representing 11% growth from the prior year period. This performance demonstrates the fundamental strength of our marketplace even as we navigated the anticipated impact of the federally mandated all-in pricing in the United States earlier this year. As expected, the transition has reduced conversion rates as customers adjusted to the new pricing format. Based on our internal estimates previously disclosed, we believe the implementation of all-in pricing had an estimated 10% one-time impact on the size of the North American secondary ticketing market. We expect this transition effect will continue to influence year-over-year comparisons through May 2026 as we cycle through the full 12-month period following the May 2025 implementation date. Even with this temporary growth headwind, our results demonstrate the resilience of our business model and our ability to continue to gain market share in this dynamic environment. Beyond the impact of all-in pricing, we believe our GMS growth reflects a more fundamental trend, sustained share gains across the North America secondary ticketing market, where we continue to outpace overall market, as well as continued international expansion. When excluding the outsized impact of Taylor Swift's Eras Tour from the prior year period, our GMS grew 24% year-over-year with broad-based strength across our platform and categories. Revenue for the third quarter was $468 million, up 8% compared to last year. The performance was primarily driven by our GMS growth, offset by 2 factors worth highlighting. First, as Eric discussed earlier, we made the strategic decision to further invest in market share expansion, in part through a reduction in take rates, resulting in our revenue as a percentage of GMS declining slightly to 19% this period compared to 20% in the prior year period. This measured reduction in take rates reflects our deliberate approach to balancing near-term results with long-term market leadership. Second, we experienced a reduction in inventory revenue as we strategically phased out the use of minimum guarantees for direct issuance sellers. This move is aligned with our long-term marketplace strategy of building sustainable, scalable relationships with content rights holders. Unless otherwise noted, the following discussion of our results will be on an adjusted basis to exclude stock-based compensation and other one-time costs. Full reconciliations to GAAP figures are available in our press release. Our adjusted gross margin was 84% during the quarter, up from 82% last year. The improvement primarily reflects a reduction in ticket substitution and replacement costs. Adjusted sales and marketing expenses were $255 million or 54% of revenue compared to $221 million or 51% of revenue last year. The increase as a percentage of revenue was driven by the reduction in take rates to drive relative market share gains in the North America secondary market. Adjusted operations and support expenses were $17 million or 3.5% of revenue during the quarter compared to $16 million or 3.6% of revenue last year. Adjusted G&A was $52 million or 11% of revenue during the quarter compared to $62 million or 14% of revenue last year. As we look forward, we do anticipate a modest amount of investment in technology resources. On the profitability front, we delivered adjusted EBITDA of $67 million, representing 14% of revenue, up 21% compared to $56 million or 13% of revenue in the same period last year. Finally, I want to highlight a one-time item on the income statement. Our GAAP results for the quarter include a nonrecurring noncash expense of $1.4 billion related to stock-based compensation granted prior to our IPO. The expense was triggered by the completion of our IPO. Accounting standards require recognition of these previously granted rewards in the quarter when the IPO-related performance conditions are satisfied. To be clear, all stock-based compensation, including this one-time expense is excluded from our adjusted EBITDA calculations. Additionally, this accounting recognition has no impact on our cash flow or cash position as it represents a noncash expense. Turning to cash flow. Before diving into our performance, I want to provide some context on how we view operational cash generation in our business. Our marketplace model has inherent favorable cash flow characteristics. We collect cash from buyers at the time of purchase, but remit payments to sellers at a later date, often after the event occurs. These cash balances show up on our balance sheet as payments due to sellers. With this timing difference, we earn a yield on these proceed balances. To illustrate, on a trailing 12-month basis, you will see $41 million of interest income on our income statement. Additionally, we are asset-light with only $26 million of CapEx over the trailing 12-month period. We also benefit from over $1 billion of NOLs, resulting in minimal cash taxes in the medium term. Over the same trailing 12-month period, our cash tax amount was only $17 million. This allows us to consistently convert cash at a rate roughly 100% of our adjusted EBITDA. In relation to free cash flow, we measured on a trailing 12-month basis to reduce the lumpiness created by quarterly timing differences between when we collect cash from buyers and when we remit payments to sellers, which is impacted by seasonality and event mix. For the 12-month period ending September 30, free cash flow was $6 million, which included $120 million of net cash outflows due to the change in our payments due to buyers and sellers. This amount was impacted by an atypical concentration in seller proceed outflows occurring in the fourth quarter of '24 following the final leg of Taylor Swift's North American tour. Our trailing 12-month free cash flow also included $153 million in cash interest costs during the period. Excluding those items, we generated $279 million in free cash flow conversion of approximately 100% of TTM adjusted EBITDA. Taking a step back, I want to frame our results within the broader context of our 2025 objectives. This year, our priorities have been clear: to grow market share in North America, to expand internationally and to lay the groundwork for long-term TAM expansion through disciplined and focused investment. From the outset, we anticipated that 2025 would present a more challenging growth environment for our market. There were 2 notable, but temporary factors shaping this year's comparisons. First, we are lapping the unprecedented Taylor Swift Eras Tour; and second, the industry transitioned to all-in pricing, which took effect in May. In addition, we are lapping the historic Yankees-Dodgers World Series as well as an unusually high concentration of major on sales that occurred in last year's fourth quarter. This year, we are observing some shifts in the timing of these on sales. Several large tours that would typically go on sale in the fourth quarter occurred earlier in late September. It remains to be seen how this concert on-sale timing dynamic plays out in November and December. Even with these temporary market dynamics in 2025, we are executing well against the objectives within our control, driving strong operational performance and expanding our leading market share position. And as we look ahead to 2026, the Taylor Swift comparison will be behind us, and we will lap the implementation of all-in pricing in May. Fan demand for live events remains strong, and we're excited about what is shaping up to be another robust year for live entertainment. Let me now address our thoughts on guidance, as we navigate our early stages as a public company. We are focused on operating the business for long-term value creation. Of course, we want to provide our investors with transparency so they can track our progress and execution against our long-term goals. While we are not providing specific guidance today, we plan to share annual guidance for our 2026 expectations when we report our fourth quarter and full year 2025 results early next year. Turning to the balance sheet. Our capital structure philosophy centers on maintaining flexibility and optionality to position our business for long-term success. This approach guided our capital markets activity during the quarter, which was designed to enhance our financial strength by prioritizing a reduction in our leverage, something that will continue to be a key priority. During the quarter, we successfully executed 2 transactions that collectively raised approximately $1 billion. First, we raised $224 million through our Series O preferred equity, which will convert into common equity at the expiration of the lockup. Next, we completed our $800 million IPO, raising net proceeds of approximately $758 million after deducting underwriting discounts and commissions. The influx of capital provided us with the opportunity to significantly improve our balance sheet by reducing leverage and lowering our debt service costs while maintaining strong liquidity. Specifically, we reduced our total debt by approximately 30%, retiring $750 million of our U.S. dollar-denominated term loan, bringing our total debt down to $1.7 billion. As a result, we ended the quarter with $1.4 billion of cash and cash equivalents or $623 million, net of our payments due to sellers, and $1.1 billion of net debt. The ratio of our net debt to TTM adjusted EBITDA was 3.9x at quarter end. Importantly, the interest rates on our remaining term loans are hedged via interest rate swaps through February 2027, resulting in a fixed, blended interest rate of 5.8%. Over the last 12 months, our debt service cost between cash interest and required amortization was $174 million. Today, our annual debt service requirement is $99 million, a reduction of $75 million, or 43%. Given the excess cash amounts we are holding, we intend to make additional debt repayments in the near term, which will reduce this cost even further. We also increased our revolver capacity by $440 million during the quarter from $125 million to $565 million, expanding our available liquidity and ability to respond quickly to any short-term capital need. Our strengthened balance sheet not only supports disciplined growth, but also reduces the interest burden, directly enhancing free cash flow generation. This creates a virtuous cycle that enables continued disciplined investment in organic growth and further deleveraging, both of which remain central to our capital allocation priorities in the near and intermediate term. With that, we will now open the call to Q&A. Operator?
Operator: [Operator Instructions] And our first question comes from the line of Doug Anmuth with JPMorgan.
Constance James: Eric, during 2025, you've made some substantial investments in core resale market share and also direct issuance. Can you just talk about the returns you're seeing on those 2 areas of spending and whether you expect those to continue in '26? And then, I know there's some noise as Eric mentioned in the 4Q on sales versus last year, but just curious on the thought process in not providing a 4Q guide in that you're halfway through the quarter.
Eric Baker: Sure. Thanks for the question, Doug. Appreciate it. So I think you had a few things in there in terms of what we've been doing with market share investment, how we think about that and how we think about the outlook for the business. Again, I think as we said in our opening remarks, we take a long-term approach, so we are not providing guidance, and we'll be talking about 2026 when we're on our next call. But with that being said, let me address some of the things that you brought up. So first is, as you noted and as we talked about, we had a real focus this year in investing to take market share and to do that in a very systematic way. And we've been extremely pleased with the results. I think we can see in this quarter that has just passed that, that has continued to pace. Our relative market share, I think, as I said, is about 4x. And I think everyone can see what has happened out there in the market in a great way. I think what's exciting about that, again, is that we're really creating permanent advantages in terms of how people are situated. One of the things I mentioned at the opening was around the point-of-sale system. And we've seen that what we've deployed in the point-of-sale system has rapidly been taking share ahead of schedule, moving us into a dominant position, which obviously feeds the data that we have, feeds the -- we get increased durable share as people use the POS to operate their business, and it provides a great backbone for our advertising business and sponsored listings. So we're very excited about all of that. I think Connie addressed, as we go and we look forward from where we sit, there's an extremely strong market for live events. It's as strong as ever. I think Connie addressed their shifts in terms of when on sales may happen. But as we look at it, everything is going at pace.
Operator: And our next question comes from the line of Eric Sheridan with Goldman Sachs.
Eric Sheridan: As we turn the page on 2025, curious how you're thinking about aligning marketing investments over the medium to long term? And what signals you're getting in terms of the receptivity to marketing investments to continue to grow the user base across all the array of offerings and products you're bringing to the market?
Eric Baker: Great. Eric, thank you for the question. And I think some of that echoes what I also would follow up. And I think as Doug asked about some of the various investments, and I talked about market share, and we're seeing great traction and durability in that as we sort of see the flywheel is working, I think the other thing which we've talked about is, obviously, we're very excited about our direct issuance business. And what that for us really means open distribution. And to sort of recap what that is, is we really view it as, look, our mission backing up is that for fans. We want to give them easy access to the events they want to go to so they can access those live events and get there in a very easy, delightful fashion. We also want to assist content in making sure tickets don't go unsold, seats don't go empty, and they can maximize their revenue. And that's a real pressing issue for people. I think even Live Nation on their most recent call mentioned that 98% of their events do not sell out. And there's tons of tickets, obviously, don't sell. Sports has a similar dynamic, where they're trying to fill arenas. And so I think this ties into the direct issuance initiative, and to your question, which is that we have seen a tremendous receptivity, which is that in order to solve this issue that rights owners have in order to try and increase their revenue, increase throughput, get people into the arenas, they see the wealth of data and distribution we have, that has sort of led to, obviously, Major League Baseball, where we're seeing great receptivity from the teams. We talked about the festival channel, where we signed up Peachtree and LED, and we've been doing a great job with that. Tying that back to your question in terms of some of the marketing spend, we also talked about as we built that out, we've made the investment to prove it. And we see rights owners and people in the queue coming on board where it does not require any financial payment for them to access our open distribution. And so similar to how teams like the Dodgers have done that, when I was speaking with Shaun and Raj just last week in New York, and we were looking at the pipeline, the majority of the pipeline, as it's transitioning, does not involve any cash payment from us. And so we think this is going in an excellent direction and tracking the way we want to see it.
Operator: And our next question comes from the line of Justin Post with Bank of America.
Justin Post: Wondering if you could give us any visibility on the sponsored listing ad launch, when you're thinking the timing is and how quickly that could ramp? And then second, maybe talk more about the Major League Baseball deal, are you going to get direct tickets from the league? And are you seeing more productive discussions across multiple leagues?
Eric Baker: Excellent. Justin, thank you for the question. Appreciate it. I think you're asking -- let me address some of the advertising generally, including sponsored listings, then I can talk about what you asked about MLB. So let's talk about advertising. And first, let me just frame it. The way we think of our opportunity in advertising is, first of all, doing things which are value-added for our consumer base to enhance that experience and doing it for other members in the ecosystem who are selling tickets. There's 2 flavors of that advertising. One is, again, where you have things like the Booking.com deal that we did, where we work with different potential partners so that post-purchase people, if you're traveling again, we have a huge international business. People travel for these events, you can book through Booking and so forth. And so that Booking has been a great proof point and a start to that. The second, which you mentioned, is sponsored listings. And so on sponsored listings, just to explain what that is, is basically that we have sellers on our platform, and these sellers are looking to sell their tickets. And as in many marketplaces, we put the ability for these people to pay to bump their listings to the top and sort of feature them. This is not reinventing the wheel. Here's what we're excited about and get to sort of why we're excited about the progress and the promise for it. We have 2 great aspects to it that are unique. One is that these people are selling a perishable item. So it expires, and then, it's not worth anything. So it's very important to get that in front of people. And most of the supply that we have on our platform is competing to try and get in front of customers. And so if you've got similarly priced supply, taking the sponsored listings avenue is very attractive to these people, and we think, will add a lot of value and be done in a way that works for the customer. The second thing I want to highlight is I talked about our point-of-sale system in terms of relative market share and how that's helped us lock people in. That creates a very easy conduit. The point of sale, again, is what these sellers are using to operate their business. So as they operate their business, as they list tickets, as they price tickets, right in that workflow, with one click, they will be able to opt for sponsored listing. This means that basically, that product is our sales force to tie in for it. So that's why we're very excited about the opportunity. What we're trying to do is make sure that we roll it out the right way for consumers, in the right way that it works smoothly for sellers. As we've said, that will be rolling out second half of Q4. We look forward to rolling that out. Lastly, real quickly, I think, Justin, you mentioned about MLB. Let me quickly just recap what is that deal, and then, I can talk about why we're excited about it and how it looks promising. What the deal is? MLB, at the corporate level, they will be taking advantage of direct issuance with tickets that they control for certain MLB events, which is exciting. They're also helping us facilitate signing additional teams, as we already work with, as people know, the Yankees, the Dodgers and others. That has already been extremely promising. We're really liking the pipeline on that. And again, as I alluded to, many of these teams are understanding they're not concerned with or focused on a payment. They see the value of open distribution inherently driving intrinsic value for them. So that's an exciting way that it ramps in a great economic situation for us. Thank you.
Operator: And our next question comes from the line of Mark Mahaney with Evercore.
Mark Stephen Mahaney: Eric, I just want to ask about the direct issuance market. And if you think about it in terms of low, medium, high-hanging fruit, if there's such an expression, where do you think the best opportunities are for StubHub in the next 2 to 3 years? Is it more international? Is it more U.S.? Is it more sports? Is it more live theater? Like what are the best opportunities to ramp up into this promising market?
Eric Baker: Sure. Thank you, Mark. Appreciate it. Let me again say that what we are talking about doing for content is universal to all content. So when I talk -- talking with Shaun the other day, when you go in and you say, we have a solution where we can actually get you access to more data, more distribution, more people nonexclusively to help drive your revenue and fill seats, people are like, this is great. They're very receptive to it. Because remember, what content is trying to solve every day is increasing the revenue, increasing the attendance and doing that in a way that works for fans. And we -- obviously, that's what we've been doing for years and years. So it's really just about making that as easy as possible from a product and service solution. So that's a long way of saying we're seeing a very diverse pipeline across the board. There's obviously multiple sports leagues in the United States. But globally, we've said before, we worked with European soccer franchises. Festivals we work with, I cited 2, that are domestic, but there are many internationally that we're looking at working with. We talked about the increased ramp in MLB. So I think really, this is something that is attractive across the board. Let me leave you with one other thought, Mark, on this, is that another way to think about it, and we've said this, is that this is not something which is competing with primary ticketing. We are not trying to replace primary ticketing companies. You can imagine us partnering with primary ticketing companies in order to open up our distribution to them. And that being a very powerful way to access anything across the planet because, again, this is a $150 billion-plus market. So it is a huge ocean to fish in, and we're very excited about it.
Operator: And our next question comes from the line of Brian Pitz with BMO Capital Markets.
Brian Pitz: Maybe a broader question on how StubHub is thinking about the future of Agentic search and ticket buying. Maybe you could provide us your views on how agents will impact either future take rates or advertising revenue going forward as we are hearing more and more industry discussions around Agentic capabilities in live event ticketing?
Eric Baker: Yes. No, thank you, Brian, and thank you for the question on AI, which is obviously a very exciting topic. And so let me open by just saying, in the immediate term, everything has been business as usual with consumers using the channels that they use, and that continues. That being said, as you say, and we're always thinking long term and how this works. And I'll tell you why we're excited about the opportunities and how we think it will play out. The first thing is that any time there's top-of-the-funnel ways to reach people in competitive ways with people giving you that access top of the funnel to reach people and compete, which is traditional Google search and other methods, we believe it's extremely powerful. We believe we're extremely well positioned, and what we're seeing is that when you're looking at where you send traffic and where the agent needs to go and how they need to, they're solving for the best solution for that consumer, which naturally goes back to who has that supply chain, who has the catalog, who can be relied on for the ticket, who has the best selection, et cetera. So as we build that, we see the same way it worked even in search and everything else. That's ultimately where you need to be. Now, I think over time, what we're very excited about, Brian, is there's going to be both paid and unpaid ways to take advantage of this. We think that as we see in our dialogues with many of these companies that we talk to all the time, there may be ways where there's a paid model for them to drive traffic, but again, always with a quality score and thinking that way. And there's ways that there will be unpaid as they show. But again, the key thing is that they're going to want to drive people to the best possible outcome for consumers that's going to deliver value, and that's what we're building. So we're excited about the opportunities. That's how we see it.
Operator: And our next question comes from the line of Lloyd Walmsley with Mizuho.
Lloyd Walmsley: You guys talked earlier about the headwind to growth from all-in pricing. And just wondering if you guys feel like you've carved some of that back already. Is it still running at sort of the low double-digit headwind rate? And do you feel like we're just -- we're sort of -- we just have to comp through it next year? And then secondly, if you could just comment on how meaningful you think World Cup could be next year? And any early indications you're seeing on that would be great.
Eric Baker: Sure. Thank you for the questions, Lloyd. Let me on all-in pricing and then World Cup. And so let me straight on, I think, as we talked about before when we've discussed this and we talked about it, the all-in pricing is a 10% headwind, we believe, for 1 year. We'll lap it in May of '26, I think, as Connie said. So that is -- we don't see any deviance from that. That's what we see. That sort of is what it is. I do want to put that in context for people to understand one thing. We talk about running our business for the long term and that we're really trying to do right by the consumers and the content. And look, I want to put this in context, we also have explained to people, we lobbied for all-in pricing for multiple years. It's something that I think you can go to the SEC website, it's public record. It's not something -- and we were the only people, I think, in our sort of sector to do that. And the reason I bring that up is we did that knowing that there would be this hit. And we knew that in the short term, it's obviously arithmetic, Lloyd, it's 10%. But in the long term, it creates a much better experience for consumers, and it's going to behoove people like us who provide the best experience. Anyway, that's all on pricing. The World Cup, again, listen, we don't -- again, we're not quantifying going forward, but what -- here's what I can tell you. The World Cup has always been a tremendous event for even going back to the days of viagogo because our heritage is international. It's phenomenal in terms of resale, and it is a global event that's going to be North America with a ton of matches, which is arguably the biggest sports spectacle on planet Earth. So we are extremely excited about it and very much looking forward to it, and we'll see.
Operator: And our next question comes from the line of John Blackledge with TD Cowen.
John Blackledge: One question on take rates. Could you talk about take rates between the secondary market and the emerging direct issuance business? And do you expect them to be similar as the direct issuance bid scales? And secondly, just curious if you can unpack the 3Q '25 GMS growth between North America and international?
Eric Baker: Thanks, John. I appreciate the question. So let me -- I believe you had a question about how do take rates, how do you think about then direct issuance and open distribution and some stuff around our international business. Let me frame some stuff and then maybe Connie will give whatever color we can as well. So I think the first thing is when we talk about the open distribution-direct issuance model, the very straightforward answer to you is the take rates are the same. As we sit here today and everything we've seen, the take rates are the same. That's just fact. I think to help understand, so I want people to understand what we're doing here and why that is, is sometimes people again say, well, doesn't a primary ticketing company have a different take rate? And again, I just want to be very clear, we're not running a primary ticketing access control system. What we're doing is providing a marketplace, providing distribution for people just like we do for fans, just like we do for power sellers, no different. That is why we are able to tell people that when they sell through us, we're charging through the marketplace in the same way. We're not charging them. So that's the answer to that question. I think in terms of U.S. international, I'll just give you in terms of high-level flavor, and we don't break it out. So that's just not to disappoint you there. International has been a rapidly growing business for us, we're very excited about. I think sometimes we don't do a good enough job of articulating to people viagogo, which obviously went on to acquire StubHub, was built internationally. We're in 200 countries. I will tell you, Asia and Latin America are particularly strong. And I will also tell you that if you listen to different event and concert schedules for 2026 and what everyone says in the industry, which we see is tours are going increasingly global, and they're increasingly in these different geographies. So we're very excited about that.
Constance James: Yes. Nothing further to add, just to emphasize that international continues to be an area where we see consistent growth. We're also excited to have Raj on board, who's going to put some direct focus on international as well, which is super exciting. So great momentum across the board.
Operator: And our next question comes from the line of Shweta Khajuria with Wolfe Research.
Shweta Khajuria: The first one is on direct issuance. Could you please talk to how you're thinking about the number of teams that you expect to perhaps bring on onto the platform next year? And what level of visibility do you have in terms of the timeline? Anything you can comment on when do you need to sign them all by to benefit by the end of next year? So that's the first one. And the second one, any color on just the overall demand trends that you're seeing through the quarter through October and November that could help us out as to how we think about fourth quarter going forward?
Eric Baker: Yes. No, Shweta, thank you for the question. I know I think in terms of -- let me talk generally, I think about. I can talk to you generally about DI and open distribution, how we think about that. And also certainly, how do we see sort of live event demand and what's going on? Obviously, as we've said, the way that we think, and we're not providing guidance at this time, and I'm sure we look forward to the next call and talking about next year then. With that context, what I would say is in direct issuance, again, the way we think about it is, again, I think to the question that Eric may have answered -- asked earlier, is that we really have this wide ocean, and it's in so many different compartments when we talk to Shaun and Raj that you've got different leagues, different festivals, different geographies. So it's very, very broad. And what we're finding is the applicability is pretty universal and that really what we need to do is have the product and service work for people the right way. What I would also tell you is that when you get the product and service done the right way, and remember, I want to make this very clear, we are not doing this where it's not exclusive to us. It's multi-listed on multiple platforms, and it fits into their workflow. It doesn't -- that means you don't have to sign up at some predetermined date. You don't have to make a long-term decision. It becomes an option that is in your workflow at any point in time to flip the switch and sell through the retail channel. That then becomes a beautiful thing because you're not bidding on RFPs years in advance and saying, I own this for X years. So that's -- thank you for asking the question. It's an important distinction. I think, in terms of just consumer demand and live events, again, and we don't -- not giving guidance and stuff, but I will take it this way, the demand for live events is phenomenal. We don't see anything with consumer demand that's any different. I think as Connie alluded to, as she spoke, we run a marketplace business and the timing of when things go on sale on the event catalog sometimes varies. And I've been doing this for 20, 25 years, my gosh. And it can move. Sometimes things go in the fourth quarter instead of first quarter, sometimes things go in the third quarter instead of the fourth quarter. That is a timing catalog question that has nothing to do with the robust demand that we see from consumers who love going to live events and continue to do so.
Operator: And our next question comes from the line of Jason Helfstein with Oppenheimer.
Jason Helfstein: I guess, I want to just maybe re-ask the Shweta's question just because we're getting asked this by a number of clients. So maybe, Connie, can you help us understand, I guess, how much pull forward did you see in 3Q that may kind of be affecting fourth quarter? And I guess, how meaningful is kind of the unfavorable World Series relative to last year? And then a second question that's been coming up, Ticketmaster, Live Nation, whatever, has been under increased pressure, I think, to try to rein in speculative sellers. Can you just talk about like how you manage the business around speculative selling? And just your broad thoughts about it. Is it something that like -- kind of it's something we should all be paying attention to or just in the scope of a very big business, it's just not meaningful?
Constance James: Yes. Great. Thanks for the question. And happy to provide some color. As we mentioned, we knew going in to the fourth quarter that it would be a little bit of a tough comparison. We had the unique Taylor Swift comp as well as the World Series. And as I mentioned, we did see a little bit of timing shift in relation to September. To Eric's point, what we continue to focus on is the long term. We know that there can be timing shifts from time to time. What we continue to be focused on is capturing share. And in the third quarter, we were able to do just that. In fact, if you look at our market share, we were nearing 50%. So as we look at it, we think it's merely a timing issue more than anything else. And more broadly, I'd say the outlook for '26 continues to look really strong. And so if there's a little bit of timing, the good news is that we're well positioned to capture a significant portion of those on sales when they do come in. So hopefully, that gives you a little bit of color. In relation to speculative ticketing, et cetera, I'll pass it over to Eric to provide some color.
Eric Baker: Yes. No, thanks for the question, Jason. I think sometimes when people talk about, I think, within speculative ticketing, there's a lot of people in the market that -- how do we make sure that we're guaranteeing people get tickets and that it happens in an authentic way. That's our business. That's what we do. So minimizing fraud and make sure these tickets get delivered. So for us, there's not -- it's business as usual and nothing to talk about there.
Operator: And our final question comes from the line of Andrew Boone with Citizens.
Brianna Diaz: This is Brianna on for Andrew Boone. Just can you share how users are currently interacting with the mobile app and how that may be different than on the web? And do you see an opportunity for the mobile app to evolve into a more comprehensive platform, whether that's through loyalty program or a different lever to drive better frequency and retention?
Eric Baker: Thank you for the question. Appreciate it. I think the question about mobile app, on the first thing, just we don't break out for the purposes of what we report. I think though, as you allude, and I think what we are seeing and what you're sort of alluding to is that as we are getting more and more people coming back to us all the time, as we think about what we provide to make that experience easy to know who you are to -- even with these things where we're adding in things through Booking and other things to build a more complete product, that's really what we're striving to do. So as we continue to do that, we're certainly adding the building blocks for a complete product and making it easier and easier for people to know that they just have the first port of call to go to, which is StubHub, and that's what we're excited about. Thank you.
Operator: And ladies and gentlemen, that concludes our question-and-answer session. I will now turn the call back over to Mr. Eric Baker for closing remarks.
Eric Baker: Thank you, everyone, for joining us for our first earnings call as a public company. We very much appreciate it. As I said at the outset, both to those who have been along with us for our many-year journey and for those who are new to the story, thank you for taking the time. We look forward to speaking to you again in the future.
Operator: And ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.